Operator: Good day, ladies and gentlemen and welcome to the Q4 2018 ExlService Holdings Inc. Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder this call is being recorded. I would now like to turn the call over to Steve Barlow. You may begin.
Steve Barlow: Thank you, Michelle. Hello and thanks to everyone for joining EXL's fourth quarter and year-end 2018 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. I’m in New York, and in Noida are Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Vishal Chhibbar, our Chief Financial Officer. We hope that you’ve had an opportunity to review our fourth quarter earnings release we issued this morning. We’ve also updated our Investor fact sheet in the Investor Relations section of EXL's website. As you know some of the matters we will discuss in this call are forward looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the Company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this conference call. During our call today we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found on our press release as well as the investor fact sheet. I'll now turn the call over to Rohit Kapoor, EXL's Chief Executive Officer. Rohit, you're on.
Rohit Kapoor: Thank you, Steve. Good morning, everyone and welcome to our 2018 year-end earnings call. In 2018 we generated revenues of $883.1 million, which represented an increase of 15.8% year-on-year and an adjusted EPS of $2.77. We accelerated our revenue growth in Analytics and in Operations Management. Analytics had an outstanding year with revenue increasing 35.9% year-on-year to $285.3 million. And now represents 32% of EXL's total revenues. Organically Analytics grew 16.8% year-on-year on a constant-currency basis compared to 15.2% growth in 2017. Operations Management grew to $597.8 million in revenues, up 8. 2% year-on-year. Organically, Operations Management grew by 5.8% on a constant currency basis compared to 4.9% in 2017. Our Operations Management business was driven by strong performances in Insurance and Finance & Accounting, both of which grew by double digits and the growth of our consulting business. This strong performance was a result of growth in our existing client base and our ability to win new customers. In 2018, revenues from our top 10 clients increased by 14.6% compared to a growth of 7.1% from top 10 clients in 2017. For the year, we won 50 new clients, 19 in Operations Management and 31 in Analytics compared to 42 new clients in 2017. EXL's accelerated growth was a result of the following three factors; number one, our continued progress in digital; number two, the turnaround of our consulting business; and number three, our demonstrated ability to win large transformative deals. In 2018 we made tremendous progress towards our goal of becoming a strategic digital transformation partner for our clients. During the year, we launched digital intelligence, our differentiated strategy and approach to transformation. Digital intelligence is founded on our ability to create context through the combination of domain and data and orchestrate human talent with technological capabilities in order to deliver superior business outcomes for our clients. Over the past three years, we’ve invested significantly in digital capabilities, products and talent. In 2018, we launched several proprietary solutions, which will act as growth engines across multiple industry verticals. We created a strong network of 30 plus partners. We combined our domain expertise with the niche technological capabilities of our partners in areas such as advanced automation, machine learning and AI to jointly transform client operations. And we built a global talent pool of more than 800 professionals ranging from software architects to design thinking and diagnostic experts. With this foundation every new client pursuits includes the integration of our market-leading analytics, a digital solutioning capability and our deep domain expertise to build a compelling solution that is customized for each new client. Together, these create an extremely attractive value proposition that differentiates EXL in the market. We're bringing the same playbook to our existing client operations and over 45% of them now have digital interventions, enhancing the efficiency of business processes and increasing the value delivered to our customers. The second area I'd like to discuss today is the turnaround of our consulting business. Through a combination of new leadership and pivoting the business more toward market relevant digital solutions, consulting became our fastest growing business last year with significant improvements in profitability. Leveraging our proprietary Digital EXLerator blueprint methodology, our consultants are building implementation roadmaps and ROI models to support transformation across all functions. In the front office, we’re helping our clients to transform how they interact and engage with their end customers. We’re helping clients to better map out end-to-end customer journeys and analyze the limitations of existing processes when viewed through a customer lens. By introducing the right digital solutions, customers can choose to engage in their preferred channel, while businesses can proactively meet their needs with a faster turnaround time. Together these efforts improve customer satisfaction and lower the cost for our clients. In the back office, our consulting business is actively supporting client digitization agendas through the establishment of advanced automation and robotics centers of excellence. We’ve developed several playbooks that accelerate the implementation of the digital capabilities in a specific industry process. With our services, clients have higher confidence to scale implementations, manage change and deliver ROI on their automation programs. Consulting also generated strong demographics in the area of regulatory compliance. We were able to capitalize on areas such as GDPR compliance in U.K and Europe, and the California Consumer Protection Act or CCPA in the U.S, by leveraging our experience with privacy, data governance and large-scale regulatory programs. EXL supports clients in understanding the impacts of such regulations, assessing gaps in existing processes and building implementation plans to strengthen compliance. I’m excited about the trajectory of our consulting business. It acts as the tip of the spear for EXL by generating pull-through revenue for our Operations Management and Analytics businesses and positions us as a strategic digital transformation partner for our clients. Next, I want to discuss our success in winning large global transformative deals. We have increasingly seen large complex deals enter our pipelines that involves multiple geographies and have strong digital transformation components. We are winning these deals because of our ability to demonstrate digital transformation in action through our robust tool set that deliver real results at scale. In 2018, we won a strategic engagement with one of the biggest insurers is Australia. This engagement presents the opportunity to transform voice and non-voice processes across sales, customer service and claims functions. We won by demonstrating our insurance domain expertise, our innovative -- hello, operator can you hear me?
Operator: Yes, you’re still on. Please proceed.
Rohit Kapoor: Okay. We won by demonstrating our insurance domain expertise, our innovative solution approach and our ability to culturally align with this client. This win strengthens our presence in Australia, where we now work with multiple top insurers within just two years of entering the market. In another example, we won a large Finance & Accounting deal with the global insurer to support operations across 15 countries in Europe, Latin America and Asia Pacific. Our solution integrated our deep understanding of Insurance Products, Operations and Finance & Accounting processes to drive better end-to-end transformation. A key differentiator in this engagement was our ability to create an Analytics Center of Excellence with embedded robotics and AI to generate insights for improved decision making. In the fourth quarter, we won a strategic engagement to support the Care Management business of a large U.S health plan. We won based on our leadership position in global clinical operations and our commitment to support transformation at scale. Continuing with the healthcare vertical, we made two acquisitions. Health Integrated at the end of 2017 and SCIO Health Analytics in July 2018. We have hired Sam Meckey a healthcare domain leader with 15 years of experience managing large P&Ls in the healthcare space. Sam joined us in November 2018. Health Integrated has not performed as per expectations. And we continue to have challenges with this asset. In 2018, Health Integrated generated revenues of $17.7 million and had an adjusted EPS loss of $0.22. We are working on this asset with utmost priority and have already undertaken a full review of the business with the goal to restructure and right size it. We also recently hired a new leader under Sam, with experience in running onshore Care Management operations, which is a critical component of the end-to-end Care Management Service delivery. Meanwhile, based on the performance of Health Integrated in 2018 and the outlook for future years, we took a $20.1 million impairment charge in Q4, which represents the full amount of goodwill and intangible assets pertaining to this acquisition. We will continue to focus on expeditiously restructuring Health Integrated and will provide you with an update in the next earnings calls. I also want to give some color on SCIO Health Analytics, which is part of the Analytics segment. The integration of this asset has been progressing well as per plan, and we’ve added four new clients since the closing of the acquisition. SCIO's capabilities are strengthening EXL's market position in Analytics, as well as the fast-growing payment-integrity market. This enhances our healthcare operations management business by embedding Analytics alongside our global clinical operations. I will end with a few comments on our overall demand environment. Analytics continues to be a growth driver for us that is critical. Our full suite of end-to-end data and Analytics capabilities are in demand across geographies and in our core industry verticals. The Analytics pipeline is also strong among newer industries for EXL such as fintech, media and retail. We are seeing traction for our services that help them interact with and deliver content to customers and supporting their efforts to develop new revenue streams in the digital era. We also have strong demand for advanced capabilities such as machine learning and AI technologies spurring growth across full industries. We remain extremely confident in the prospects for our Analytics business moving forward. We continue to have a strong pipeline in Operations Management among existing clients and new prospects, particularly in Insurance, F&A and Healthcare. Deals are becoming larger and more complex as they are more focused on enterprise transformation and frequently involves multiple geographies. These deals play to our core strengths in domain and data, talent and technology and our growing role as a strategic digital transformation partner. In closing, the success of EXL is due to the commitment of our more than 29,000 global employees. They continue to develop new skills and raise technology, and build on our purpose to deliver higher value to our clients. I look forward to 2019 being another successful year for EXL. With that I will turn the call over to Vishal.
Vishal Chhibbar: Thank you, Rohit, and thanks everyone for joining us this morning. I'd like to start by providing insight into our financial performance for the fourth quarter and full-year 2018, followed by guidance for 2019. All revenue growth numbers are on a constant-currency basis. We had a strong finish for the year with Q4 revenues of $234.9 million, up 20.3% year-over-year. Revenues grew 8.1% year-over-year on an organic constant currency basis. Sequentially, revenues grew 2%. For the quarter, revenues from our Operations Management business, as defined by the five reportable segments, excluding Analytics was $149 million, up 6.8% year-over-year. This growth was primarily driven by clients from Finance & Accounting, Insurance and Healthcare segments. Finance & Accounting continued its momentum with double-digit growth of 13% year-over-year. This growth was driven by ramp up of large deal wins of 2018 and expansion in existing clients. Insurance grew 8.2% year-over-year. This growth was driven by ramp-up of 2018 wins and expansion in existing clients. Healthcare grew 5.5% year-over-year driven by Health Integrated, which contributed $4.1 million for the quarter. All other segments grew 3.8% year-over-year, driven by growth in consulting. Analytics continued its strong performance with revenues of $85.9 million, up 55% year-over-year, including revenues of $20.8 million from SCIO Health Analytics. On an organic constant currency basis, Analytics grew 17.5% year-over-year. This broad-based growth was driven by 31 new client wins for the year and expansion in existing client relationships resulting in double-digit growth in Insurance, Healthcare and Utilities Verticals. Sequentially Analytics grew 4%. Analytics contributed 36% of our revenues for the quarter. Now moving to our SG&A expenses. SG&A expenses decreased by 70 basis points year-over-year to 20.7% of revenues. Excluding the impact of acquisitions, SG&A expenses declined by 130 basis points year-over-year, driven by operating leverage, offset by continued investments in digital capabilities. Adjusted operating margin for the quarter was 13.1%, a decrease of 20 basis points year-over-year. Excluding the dilutive impact of Health Integrated, our adjusted operating margin for the quarter was 14.7%, up 130 basis points year-over-year, driven by operating leverage and accretive impact of SCIO Health Analytics. Our adjusted EBITDA for the quarter was $38.2 million, compared to $33 million in Q4 2017. Excluding Health Integrated, our adjusted EBITDA was $41.1 million, up 24.5% year-over-year. As mentioned by Rohit and disclosed in our press release, in Q4, we recognized an impairment charge on goodwill of $14.2 million and intangible assets of $5.9 million aggregating to a total of $20.1 million from our Health Integrated acquisition. The dilutive impact of this one-time impairment charge on our GAAP EPS was $0.49 for the quarter and full-year. The impairment charge is excluded from our adjusted diluted EPS. The primary factors contributing to the impairment charge were, revenues and profitability for Health Integrated business in 2018 were significantly lower than our budget, and significant changes to the company's estimates -- estimated future cash flows and long-term growth assumptions driven by loss of customer contracts, cost pressure and company's most recent views of long-term outlook for the Health Integrated business. Our GAAP tax expense for the quarter was negative $3.4 million, primarily due to the one-time tax benefits of -- on carryback of excess foreign tax credits and on impairment of goodwill and intangibles. Our normalized tax expense for the quarter was $4.4 million, representing a tax rate of 21.5%. Our diluted EPS for the quarter was $0.74 versus $0.67 in Q4 2017, up 10.4% year-over-year. Now turning to our 2018 annual performance. We delivered revenues of $883.1 million, a growth of 16.3% year-over-year. On an organic constant currency basis, we grew 8.9% year-over-year. This is the highest growth in last three years, driven by expansion of existing client relationships across various verticals and the addition of 50 client wins in 2018. Our revenue per employee continues to improve year-over-year, up 13% to approximately $32,000. Our Operations Management business grew 8.9% year-over-year to $597.8 million. On an organic constant currency basis, we grew 5.8% year-over-year, which is the highest in the last three years. This growth was driven by Finance & Accounting, Insurance and Consulting. Analytics grew by 35.9% year-over-year to $285.3 million. On an organic constant-currency basis, Analytics grew 16.8% year-over-year. SCIO contributed $40 million of revenue in the last six months of the year. SG&A expenses remained flat year-over-year at 20.4% of revenues. Excluding the impact of acquisitions, SG&A expenses declined by 70 basis points year-over-year, driven by operating leverage despite increased investments in digital capabilities. Adjusted operating margin for the year was 13. 5%. Excluding the dilutive impact of Health Integrated, our adjusted operating margin was 15%, up 50 basis points year-over-year, driven by operating leverage and accretive impact of SCIO Health Analytics. Our GAAP tax rate for the year was 5.6%. Excluding the excess tax benefits on stock compensation of $7.2 million, incremental one-time benefit on carryback of excess foreign tax credits of $6.3 million, the impact on account of Health Integrated impairment of goodwill and intangibles and other discrete items, our normalized tax rate for the year was 27.2%. Our adjusted diluted EPS for the year was $2.77. Excluding the dilutive impact of Health Integrated of $0.22, our adjusted diluted EPS increased by 12%. Our balance sheet as of 31st December had $280.4 million of cash and short-term investments, and borrowing of $284.7 million resulting in a net debt of $4.3 million. For the year, we spent $236.5 million on the acquisition of SCIO Health Analytics, $40.4 million on capital expenditures, and repurchased 675,000 shares for $40 million under the share repurchase program. Now moving to our guidance for 2019. We are providing revenue guidance of $975 million to a $1 billion at current exchange rates. This guidance represents a growth of 11% to 14% on a constant currency basis. The main drivers for our revenue growth are client wins of 2018, expansion in existing client relationships coupled with the full-year revenues from the SCIO acquisition. This guidance assume Health Integrated revenues to be in the range of $16 million to $18 million. We expect the tax rates in 2019 to be in the range of 27% to 28%. Our priorities of free cash flow in 2019, our acquisitions that expand our capabilities and geographic reach and investment in our operations toward capital expenditure in the range of $40 million to $45 million. We also intend to repurchase up to $40 million in our shares. Based on the above factors, we expect the adjusted diluted EPS for 2019 to be in the range of $2.90 to $3. 05, including the dilutive impact of negative $0.16 to $0.20 of Health Integrated. In the first quarter, we expect marginal sequential revenue growth on a constant currency basis, in line with our prior year trends and a marginal decline in adjusted diluted EPS. In conclusion, we delivered a strong revenue growth in 2018 of 16.3% on a constant currency basis, improved our adjusted operating margins in the core business. While we recognize we’ve a headwind due to the Health Integrated business, however, the underlying core business is performing well. Our revenue growth drivers ensures F&A and Analytics all have good visibility into 2019 to grow our top line. We also believe we’ve a solid roadmap to our adjusted EPS guidance range for 2019. And now, Rohit and I would be happy to take questions.
Operator: [Operator Instructions] Our first question comes from Mayank Tandon of Needham & Company. Your line is open.
Kyle Peterson: Hey, good morning. This is actually Kyle Peterson on for Mayank this morning. Thanks for taking the questions. I guess, the first one is on Health Integrated and on the dilution. Do you expect that to be more front-end loaded, and things should gradually get better as the year goes on, or how should we best think about Health Integrated's impact on guidance as the year progresses?
Vishal Chhibbar: Hi. This is Vishal. The range of the impact we are giving on -- negative impact on -- from the Health Integrated is $0.16 to $0.20. And we expect that to be spread equally at the midpoint across the year.
Kyle Peterson: Okay, great. And then, just following up on SCIO, it seems like things are going well there. Is that positively contributing to EPS now? Is it neutral, just want to kind of get a flavor of the EPS impact on that as well?
Rohit Kapoor: Yes. Hi. Kyle, this is Rohit. SCIO as we know, is our largest acquisition. I think the integration is going off extremely well. And SCIO did contribute positively to our EPS in 2018. So that is something, which I think is pretty much on track.
Kyle Peterson: Great. And then one last one from me, then I'll hop out. Just wanted to get an update on the M&A pipeline is -- and priority steer, are you guys focusing more on getting things right and healthy at Health Integrated, or are you guys potentially looking at more acquisitions, or just how you guys are best thinking about that heading into the year?
Rohit Kapoor: Yes. So Kyle, as you know our strategy is basically to grow our business strongly organically and then to supplement that by inorganic growth. We typically acquire assets for capability and that’s something which we are going to continue to do. If you take a look at our balance sheet, we’ve got adequate capacity to be able to pay for assets. And therefore we’ve a very active M&A team that is constantly looking at assets at all points of time. I'd say that our pipeline for M&A is pretty good, but we are going to be looking at this how things roll on. And I think for us, it's going to be; number one, a strong strategic fit; number two, it's going to be the right cultural fit; and number three, it's got to have the right financial fit. So those three elements for us are critical as we evaluate acquisitions.
Kyle Peterson: All right. That’s good color. Thanks guys.
Operator: Our next question comes from Maggie Nolan of William Blair. Your line is open.
Ted Starck-King: Hi. This is Ted Starck-King on for Maggie. Thanks for taking our questions. So in terms of the guidance, what do you anticipate from an organic constant currency perspective? And how should we think about the contribution from SCIO in 2019?
Vishal Chhibbar: Yes. Hi. This is Vishal. First of all, when we look at our guidance for 2019, on organic constant currency basis, we expect the guidance, right now estimating about a growth of 6% to 9%. As you know with respect to SCIO, SCIO revenues in 2018 grew by 13%. But since SCIO is an outcome based business, it will have volatility and plus we will have a full -- one year, first year of experience in 2019. We expect that SCIO will contribute to our growth in the range of about high single digits to low double-digit. That’s what our guidance is [indiscernible] right now.
Ted Starck-King: Thank you. And in terms of client pipeline perspective, how does that compare to this time last year? Are there any notable trends that you are seeing within the pipeline in terms of deal sizes etcetera?
Rohit Kapoor: Right. Ted, our pipeline remains strong and it's well distributed across different industry verticals as well as geographies. What we are seeing is some larger size deals enter the pipeline, and therefore these are much more significant and much larger and transformative deals. And we think we are well-positioned to be able to benefit from the demand in the marketplace.
Ted Starck-King: Thank you. And then just one last question from me. So you strung together a couple of nice quarters now, new client additions, other trends there that you're seeing with those additions, larger sized deals, it sounds like it is one of your expectations?
Rohit Kapoor: Yes. I think, we are pleased at the pace at which we are acquiring new clients. And certainly for us 2018 has been a strong validation of acquiring new customers at a faster pace. Q4 was a strong quarter for us in terms of acquiring new clients when we acquired 15 new clients. Our pipeline is, like we said, is pretty mature and so that we would continue to expect to add new clients as we go forward into 2019.
Ted Starck-King: Understood. Thank you.
Operator: [Operator Instructions] Our next question comes from Joseph Foresi of Cantor Fitzgerald. Your line is open.
Drew Kootman: Hi. This is Drew Kootman on for Joe. I was hoping that just looking at the segments, could you point to a few that should lead growth moving forward and what will cause those to lead?
Rohit Kapoor: So, Drew, for us Insurance is our largest industry vertical, that grew very nicely in 2018, and we think that it's got terrific momentum going into 2019 as well. The other places, where we had a strong growth were around Finance & Accounting. Our Consulting business, which grew very well and then our Analytics business, which continues to perform really well. We think these are areas that will continue to grow in 2019. We did have a change in the growth rate of our healthcare business in 2018. And we think as we fix the business there that would get rectified going forward. So frankly, there is only one area that we think requires us to focus and pay greater attention to, but other industry verticals are all playing quite nicely.
Drew Kootman: Great. And then could you discuss some of the drivers that can help drive margins moving forward?
Vishal Chhibbar: Yes, so -- hi, this is Vishal. If you look at our expansion of margins in 2018, we had impact of the SCIO, which is accretive for our margins and out of the 50 basis points, 20 basis points came from SCIO and 30 basis points came from our core business. As we look into 2019, we do expect that we'll have 30 to 40 basis points improvement in the margins, driven by our Health Integrated improvement, where the losses will be lower than the $0.22 in 2018 and that will have a positive impact of about 20 basis points. And then on the core business, we do expect that we will grow, continue to expand our margins by 10 to 20 basis points. So, overall, we do expect the margins to grow by 30 to 40 basis points.
Drew Kootman: Great. Thank you.
Operator: Our next question comes from Edward Caso of Wells Fargo. Your line is open.
Justin Donati: Hi. This is Justin Donati on for Ed. Thank you for taking my questions. Just wanted to start on the write-down of Health Integrated. Where there additional customer losses there that make you decide to take the charge now. And can you kind of talk about assumptions for growth and profitability in that business going forward?
Rohit Kapoor: Yes, Justin. So, the Health Integrated business as we mentioned in our prepared remarks, we delivered $17.7 million of revenue and a loss of $0.22 in 2018. Our expectation is that in 2019, we will have $16 million to $18 million of revenue. So essentially a flattish revenue year-on-year. And our EPS loss from Health Integrated in 2019 is expected to be somewhere between $0.16 to $0.20. In terms of the clients that we’ve got, there certainly has been a churn in this portfolio. Some of this was anticipated at the time when we did the acquisition and it was known events. But please keep in mind that we've also signed new clients in the Health Integrated portfolio. So frankly our goal in terms of restructuring and rightsizing this business, it's about keeping the right lines of business and the right services that we provide and the right kind of customers to make sure that this becomes a stable and sustainable business for us on a go forward basis. And that’s what we intend to do on an expeditious basis in 2019.
Justin Donati: Okay. Thank you for the color. And then related to that, can you talk about what you've learned through the integration of Health Integrated? And as you look to your M&A pipeline, what can you learn from that experience as you make additional deals in the future?
Rohit Kapoor: Yes. I think the big miss for us on the Health Integrated acquisition integration was an assumption in terms of how we'd be able to apply our technology platform CareRadius to the business needs of the clients of Health Integrated. What we found is that the clients of Health Integrated were actually far more diverse, far more fragmented and far more complex, and therefore, this switchover to the implementation of the CareRadius platform has taken us a lot more time and effort and we're still are undergoing that change. And consequently we’ve not been able to stabilize our service levels. And that’s a big learning for us in terms of making sure that we can understand that at the time of doing diligence on a particular asset. The acquisition of SCIO has gone off extremely well, and like I said, the integration of SCIO has been something that we paid very, very close attention to. And that's something which is working pretty much as per our business case and our expectations.
Justin Donati: Thank you.
Operator: Our next question comes from Dave Koning of Baird. Your line is open.
David Koning: Yes, hey guys. This is Dave Koning for Dave Koning.
Rohit Kapoor: Hi, Dave.
David Koning: Hey guys. Good. Thanks for taking my call. Good to be on today. But I wanted to parse out EPS growth just a little bit. I know you guys are [indiscernible] 5% to 10% EPS growth with a little bit of benefit from Health Integrated being smaller losses, maybe a percent there, and SCIO, I imagine getting a little more accretive. So does that mean core EPS might be like 3% to 8%. It seems a little lower than what I would normally expect to, maybe it's tax rate, but maybe you could parse that out a little bit?
Vishal Chhibbar: Hi, David. This is Vishal. So when we look at our EPS, the one other thing that you to keep in mind is that the impact of SCIO incrementally year-over-year would be not as high as you would expect, because we are making investments in that business. And that would take away some of the impact you may have had, a higher impact you may have had, if you were to just only look at the run rate. Number two, I think when you look at Health Integrated, we think that the impact of about improvement about $0.02 to $0.04 will the improvement for our EPS, but when you look at a range, we're looking at core EPS to grow and our expectation that core EPS will grow between 6% to 8%.
David Koning: Got you. Okay. Okay. And I know, you kind of call it out on the call to the core health business actually organically is declining, I think 10% plus during 2018. But it seems like that's not having nearly the same profit impact as Health Integrated seems like the profit side of it is under nice control. But does that business turn back to organic growth by even Q1, maybe it seems like your comps gets a lot easier by Q1 of 2019?
Vishal Chhibbar: Yes, so I think when you look at the healthcare business, there are two parts to that, especially of gross margin, right? There was a decline of about 114.9% in the gross margin of healthcare business in 2018. Now 9% of that was driven by Health Integrated, but even the core business declined by about 5.9%. So as we look through 2019, we do expect there will be a turnaround in the slight improvement from the Health Integrated dilution to the less impact in 2019. But at the same time we do expect our core healthcare BPO business, as we’ve signed some more business, will improve and add to our profitability. And that’s what -- one of the reason is for the core business to improve.
David Koning: Okay, great. Well, thanks guys. I appreciate it.
Rohit Kapoor: Hey, Dave. This is Rohit. Just on your previous question on the EPS bridge that you're trying to get to, one of the things that you should keep in mind is, we do have an impact of a higher interest expense in 2019, which was used to fund the SCIO acquisition. So that is something which actually takes away from our growth in our adjusted EPS.
David Koning: Yes, that's great point. Thank you.
Rohit Kapoor: All right. Yes.
Operator: Our next question comes from Frank Atkins of SunTrust. Your line is open.
Frank Atkins: Thank you for taking my questions. I wanted to ask within the Insurance vertical, [indiscernible] areas of strength and weakness both in the quarter and forward-looking in the pipeline?
Rohit Kapoor: Frank, actually we were very pleased with our Insurance business in 2018. We grew across different lines of business. We grew in different geographies within the insurance business. Like I mentioned in our prepared remarks, we signed up new clients in Australia. We grew our business in U.K and Europe, and we grew our business in the U.S. We grew both in the P&C side of the business, as well as on the life and annuities part of it. And also the cross-sell activities really kicked in for Insurance in 2018. So our consulting business in insurance, our Analytics business within insurance clients and our F&A business within insurance, they all were in high gear. So frankly this is something which is a great story for us in 2018. And I think our focus in that domain and our leadership position in that domain will allow us to continue to build forward. There were a number of large clients that came up for bidding out their business. And we won a fair share of the work out there. So we are very pleased with how that took place.
Frank Atkins: Okay. That’s helpful. And then secondly, I wanted to ask about the margin on the Analytics side was very strong. Can you parse the impact of SCIO as well as the core business? And which -- how should we think about margins going forward in the Analytics business?
Rohit Kapoor: Yes. So certainly SCIO has higher gross margins and is contributing positively to the Analytics business segments out there. But we are also able to improve our margins in the Analytics business per se. And our goal is that as we add so much of value to our client relationships and as we increase in size and scale that's one area where we see potential opportunity for improving the margins of the Analytics business overall. There is -- there are pieces of that business, which require us to be operating at better utilization and that’s something which we are focusing on. So particularly our data management business out there is something which we are focused on and improved the margin so far out there. We think we’ve got a fair amount of headroom out there to continue to build and grow margins in Analytics.
Frank Atkins: Okay, great. Thank you very much.
Operator: Our next question comes from Moshe Katri of Wedbush Securities. Your line is open. If your telephone is muted, please unmute.
Moshe Katri: Hey thanks. Sorry about that. You mentioned the fact that the -- our consulting business went through a turnaround in 2018, fast growth etcetera. What should we expect to -- for consulting to do in 2019 in terms of growth rates? And then maybe talk a bit about profitability. And then final point going back to Integrated Health or Health Integrated, what are the odds that we are just going to write it off, and just move on just because this is really dragging and really impacting the profitability in the business -- of the business and taking probably a lot of the executives valuable time in terms of trying to kind of turn this around? Thanks.
Rohit Kapoor: Yes. So let me address the Health Integrated question first. So our viewpoint really is that healthcare is a core industry vertical for us. It is a large, growing and attractive industry vertical. And very few of our direct peers really compete in that marketplace. We are investing in terms of building up capabilities to be a leading player in Healthcare and particularly around care management, that’s an area where we think that there is going to be more demand as we go forward. And that’s a very attractive area for us to build on. We do have to right size and restructure the Health Integrated business, but we are confident that we would able to get to a much better place than where we are right now on that business. And we are working very, very diligently and expeditiously on doing that. We do recognize that it's been four quarters that we’ve been trying to do this, but we do have much better new client relationships, much better leadership out there, and our technology platform now is in place and we need to kind of just add on to that capability to make it work a lot better. So that’s what we are focusing on. And we will update you as things progress, so that you are fully aware of how things are proceeding with that asset. Your first question was -- I'm sorry …
Moshe Katri: It was the consulting business, the outlook, yes.
Rohit Kapoor: On consulting business, yes. So the consulting business for us, like we said, grew very nicely in 2018, but obviously it was of a much lower base in 2017. We'd expect our consulting business to continue to grow nicely in 2019. And the reason for that is the service offerings that we pivoted around are really resonating in the marketplace. We are doing a lot of work around helping clients create digital blueprints and work on digital transformation. And that’s something which is working very nicely. The work that we do on regulatory compliance is all the work that needs to be done for the new regulations that have been brought in. And there is a ton of work that needs to happen out there. And lastly a large part of clients looking at enterprise-wide outsourcing initiatives requires a transformation and consulting element up front. So we are seeing that kicking out there as well. So we’d expect that business to continue to perform and grow in 2019. The profitability of the consulting business is directly linked to the utilization. And we think we will be able to have better utilization as we are able to scale up that business and as we can move into the right service lines within consulting. So our goal would be to improve profitability of this business in 2019 as well.
Moshe Katri: And you are going to grow this at the same pace or at a decelerated pace given the fact that you have a larger base now?
Rohit Kapoor: Yes, Moshe, I think it will grow at a decelerated pace. Frankly like we said, it was the fastest growing business for us in 2018. We still expect it to grow nicely, but not at the same pace as 2018.
Moshe Katri: Understood. Thank you.
Operator: Our next question comes from Bryan Bergin of Cowen. Your line is open.
Bryan Bergin: Hi. Good morning. Thank you. Can you please provide an update on the sales force just [indiscernible] size, any investments being made there? And then how are you thinking about the sales productivity and Ops Management versus Analytics?
Rohit Kapoor: Sure. So for us, Bryan, we’ve got a Chief Growth Officer, who is responsible for coordinating all the selling business development and client relationship management activity across the company. And that’s something which we coordinate across the industry verticals, across service lines, across our products and platforms, so that we can have a real synergy in terms of our go-to-market strategy. The number of people that we’ve in that area is something which we continuously keep investing in, both from the number of people that we have as feet on the street, but also in terms of the skill set that we’ve got within the sales force, because as you know, for digital transformation and some of the newer capabilities that we've got, particularly around robotics and AI and machine learning, that's something which our sales force is very well versed with and they can talk to the clients and talk to them about the change management. So we are happy with how this is progressing for us. Our ability to acquire new customers that’s something which is clearly being demonstrated. The value of the pipeline is increasing. The cadence around client management that’s improving. Our net promoter scores with our customers, that’s increasing nicely. And then the split between Operations Management and Analytics, frankly, we have a benefit because there is a lot of synergy between the two. So we are able to leverage some of our sales people on Ops Management who can also cross-sell Analytics and vice versa. And that’s something which works pretty much hand in glove between the two teams.
Bryan Bergin: Okay. Thank you for that. And then just a follow-up on capital allocation. How should we be thinking about the pace of the debt reduction as you go through 2019 into 2020?
Vishal Chhibbar: Yes. Hi. So as far as 2019 guidance is concerned, we’ve not assumed a significant debt reduction, because as we said our stated goal of capital is first to look at acquisitions; number two, to do some capital expenditure; and number three, to conduct our share repurchase, the $40 million program we have. So that’s what the current guidance is what in terms of the capital allocation. We’ve not assumed a significant reduction in the debt.
Bryan Bergin: Okay. Thanks, guys.
Operator: Our next question comes from Vincent Colicchio of Barrington Research. Your line is open.
Vincent Colicchio: Yes, Rohit, could you provide more color on the four clients added by SCIO in the quarter. Are they large organizations, is there a large potential there?
Rohit Kapoor: Yes, Vincent. So the new clients that we signed up in SCIO are actually both a combination of large clients as well as a mid-sized client. We think in the payment integrity business, as you get started some of the work that you do initially is small and then it scales up over the period of time. And that’s what we would expect to happen here. There is also a cross-selling of SCIO's services to the existing healthcare clients of EXL that’s taking place. So that’s something which we are very happy about and that seems to be working out quite nicely as well.
Vincent Colicchio: And then what portion of revenue in the quarter was outcome based and how do you see that trending in the next, say, year or two?
Rohit Kapoor: Sure. So for us, the revenue that is, transaction based pricing or outcome based pricing is roughly about 35% in Q4. That’s something which has been trending up over the years, and we think it will trend up gradually as we move forward over the next couple of years. We don't think it's going to accelerate in pace, because a large part of the work that we do is very complex. It's end-to-end processes across different geographies. So it will inch up, but it's not going to go up at a much faster pace.
Vincent Colicchio: Thanks for taking my questions.
Rohit Kapoor: Thank you.
Operator: [Operator Instructions] Our next question comes from Puneet Jain of JPMorgan. Your line is open.
Puneet Jain: Yes, hi. Thanks for taking my question. A clarification on margins, Vishal. Given Health Integrated had such high impact on 2018, I think you mentioned margins would have been 15% without it. So why shouldn’t we expect more than 30 to 40 basis points in overall expansion in margins in '19? I guess what I’m trying to ask is what do you expect for absolute margin impact from Health Integrated this year on margins?
Vishal Chhibbar: So last year we had 150 basis points impact from Health Integrated which results in a $0.22 loss. We think that based on our guidance if you are giving, which is $16 million to $18 million of revenue, $0.16 to $0.20 of dilution from Health Integrated, the adjusted operating margin impact would be instead of 150, roughly around 130 basis points. So we will get a benefit of about 20 basis points. And on the core business, where we’ve expanded our margins by 50 basis points, we will add another 10 to 20 basis points improvement where we start the year.
Puneet Jain: And were there any incremental issues you identified in Health Integrated in Q4 or recently? Because I guess like the prior expectation was lot of 2018 headwinds will not repeat in '19.
Vishal Chhibbar: Yes. So our -- as Rohit had mentioned that, as this business requires a lot of service level commitments and contractual obligations, as our -- as we were transitioning to a new platform which got completed only -- first it got completed in January. In order to deliver those client commitments, we’ve to add additional resources. And that added two more costs than what we had anticipated. And hence the loss and sort of the $0.18 we had mentioned earlier, were for the year ended, up at about $0.22. So, yes, Q4 had higher costs than what we had anticipated.
Puneet Jain: Understood. That’s helpful. And then I think Rohit mentioned large win in Australia insurance space. Can you review potential Insurance opportunities outside of the U.S and the U.K for you?
Rohit Kapoor: Yes, Puneet. So we’ve got three large Insurance carriers that we won now in Australia. We think there is a lot of opportunity to not only grow in Australia, but also to grow in the Asia PAC regions. And so that’s something which we think will happen as we expand our relationships with some of these clients. For us that’s actually very good, because it broadens out our portfolio, and it diversifies our client base. So that’s something which we are investing in and we will be actually taking on more business development folks in to -- kind of exploit the demand opportunities in that market.
Puneet Jain: Understood. Thank you.
Operator: There are no further questions. I’d like to turn the call back over to Rohit Kapoor for any closing remarks.
Rohit Kapoor: Thank you, Michelle. Thank you everyone for attending our earnings call. We are really excited about 2019, because our core business is performing extremely well. We have a great strength in our Insurance, Finance & Accounting, Analytics, Consulting businesses, and we do think that we would be able to have a great opportunity in the healthcare industry vertical as well. We look forward to updating you on our performance at the end of Q1, and we will see you then. Thank you all for joining.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.